Company Representatives: Chris Metz - Chief Executive Officer Sudhanshu Priyadarshi - Senior Vice President, Chief Financial Officer Greg Williamson - President, CamelBak Shelly Hubbard - Vice President, Investor Relations
Operator: Good day, and welcome to the Vista Outdoor, Second Quarter Fiscal Year 2022 Earnings Call. Today's conference is being recorded.  At this time, I would like to turn the conference over to Shelly Hubbard. Please go ahead ma'am.
Shelly Hubbard: Thank you, and good morning to everyone joining us for our second quarter fiscal year 2022 earnings call. With me this morning is Chris Metz, Vista Outdoor's Chief Executive Officer; Sudhanshu Priyadarshi, Senior Vice President and Chief Financial Officer; and Greg Williamson, President of CamelBak. Before we begin, I'd like to remind everyone that during today's call we will be making several forward-looking statements and we make these statements under the safe harbor provision of the Private Securities Litigation Reform Act. These forward-looking statements reflect the best estimates and assumptions based on our understanding of information known to us today. These forward-looking statements are subject to the risks and uncertainties that face Vista Outdoor and the industries in which we operate. We encourage you to review today's press release and Vista Outdoor's SEC filings for more information on these risk factors and uncertainties. Please also note that we have posted presentation materials on our website at investors.vistaoutdoor.com, which supplement our comments this morning and include a reconciliation of non-GAAP financial measures. With that said, I'll turn the call over to you Chris.
Chris Metz : Thanks, Shelly. Good morning, everyone, and thank you for joining us today. Q2 was the first full quarter since we unveiled our value creation framework in May and our strategy is driving record results. We reached the new high-water mark for quarterly sales which grew 35% from last year to $778 million and set new records for EBIT and EBITDA margins, as well as EPS, marking our fifth straight quarter of record financial performance. Remarkably our 35% growth rate this quarter was driven from a revenue base that grew 29% in Q2 last year.  These results were fueled by organic growth as a result of new innovation and high demand for key staples across our portfolio of brands, as well as growth from acquisitions such as Remington and HEVI-Shot and QuietKat. In fact CamelBak and QuietKat, both posted their highest quarterly sales ever in Q2, a testament to successfully executing against our strategy. In addition, we announced the acquisition of Foresight Sports in September, a top player in the golf technology sector.  We're also excited to announce that we closed on our latest acquisition of Fiber Energy Products, a leader in all-natural wood grilling pellets. This latest strategic transaction secures a continuous supply of pellets for Camp Chef and expands our revenue in a consumable category.  We now have 10 brands across our portfolio that are generating over $100 million in revenue annually. These highly sought after power brands are key growth drivers with strong competitive advantages, resulting in rising market share within their respective categories.  Delivering record results quarter-after-quarter requires strong execution and coordination across our teams, especially as we work to mitigate supply chain risks and integrate new brands into our portfolio. I'm extremely proud of our team and want to thank our employees for their tireless work and dedication. We're bringing more people outside, which is a core part of our mission and it's so encouraging to see that outdoor activity continues to be elevated part of the lives in so many.  We are successfully leveraging the strength of our brands through lean business operations, while building a resilient and balanced portfolio through disciplined M&A. As a result, we are well on our way to reaching and exceeding the three year financial targets we announced in May. We created a solid foundation for driving growth, profitability and shareholder value.  Our strategy to achieve the three year targets that we unveiled in May is embodied in our value creation framework. This framework has five strategic pillars, including acquisitions which I'll cover in more detail now. In just 14 months we’ve reshaped our portfolio through six acquisitions. We’ve added Remington and HEVI-Shot in shooting sports, and QuietKat, Venor, Foresight Sports and now Fiber Energy Products in our outdoor product segment. Our success in identifying, negotiating, closing and integrating new businesses has positioned Vista Outdoor as an acquirer of choice in the outdoor industry.  Remington and HEVI-Shot were key contributors to the 65% year-over-year growth our Ammunition Business delivered in Q2 and QuietKat posted its best quarter ever. Foresight Sports expands our presence in high growth, less cyclical outdoor products markets with a potential to deliver higher margin recurring revenue. Combining Foresight Sports with Bushnell Golf under the same roof positioned Vista Outdoor as the industry leader in golf technology, including data collection and hardware development, as well as game improvement in entertainment year around.  Foresight is already delivering results. The team’s recent launch of the GC3 Launch Monitor exceeded sales projections within days. The GC3 Launch also sparked already surging sales of our Sim-In-A-Box product line, a complete in-home golf simulator shipped directly to the consumer.  Operating in two locations with a talented workforce, Fiber Energy products, seven mills have state-of-the-art equipment and are designed for scalability as market demand increases. Adding Fiber Energy Products to our outdoor products portfolio positions us to drive growth across new and adjacent categories and adds to our consumable revenue base.  Moving to our business units, I'll start with the ammunition business where we transformed into a nimble, lien organization that can thrive at all points of the economic cycle. We'll continue to see strong consumer demand in retail orders across our ammunition brands. We expect this trend to continue as there are multiple key data points that showed today's ammunition market is far different than it was five years ago.  First, demand for our iconic ammunition brands is driven in-part by approximately 12 million diverse new entrants into the market, including people, color and women who are contributing to high participation rates at shooting ranges, as well as increased sales of hunting licenses and shooting accessories. These new entrants along with traditional consumers have created a larger consumer base that is consuming more ammunition than ever before.  Hunting participation, interest in personal protection and the field-to-table movement continued to grow. Not to mention, the youth shooting leagues are one of the fastest growing sports in America today.  Second, the elevated demand we are currently seeing is more broad based than previous surges, which was centered predominantly in .223 to 5.56 mm and 9 mm calibers. The demand today stretches across many other calibers, including Rimfire, shotshells and hunting calibers and we anticipate continued demand for the foreseeable future.  Third, inventory levels for ammunition continue to remain very well across all distribution channels. Much of the inventory on retail shelves today are multiple facings of the same the same calibers. Our team is continuing to work hard to fill the record demand and it shows no signs of slowing.  Fourth, our digital transformation allows us to meet the consumer wherever they prefer to shop. The next phase of our digital journey begins this month, with the launch of our ammo subscription program. During this pilot phase we will test and determine how we can successfully scale over time.  And fifth, in response to the rising commodity costs we've experienced, our teams have implemented strategic pricing actions that mitigate rising costs and to better meet supply and demand economics. We anticipate that elevated demand will support current product pricing for the foreseeable future. With this continued demanded in mind, we have decided to add more capacity with the strategic investment in equipment. While it's not a large investment, we will be adding a few pieces of equipment to give our plants more flexibility and capacity expansion. This is the first such investment since the Remington HEVI-Shot acquisitions. We don't take such investments lightly and I'm proud that our team has added little to no overhead since the beginning of the increase and demand 18 months ago. This is included in our capital expenditures and free cash flow guidance. Both Remington and HEVI-Shot added 30% more capacity to Vista Outdoor without adding any marketplace capacity.  While our second quarter growth in ammunition sales reached all-time highs, our production was hampered by raw material shortages and logistics challenges due to the broader global supply chain disruption that is affecting industries from all sectors. That said, our team is working successfully with our suppliers to manage and mitigate those risks, and I feel confident that we will continue to leverage our strong relationships with our vendor partners to ensure we get more than our fair share.  We believe that product innovation is key to create a growing and resilient ammunition business. Remington launched its first new product since the acquisition, the CORE-LOKT TIPPED for big game hunting. An American Rifleman Magazine awarded Federal Premium's Terminal Assent with a Top Ammunition award for 2021. Each of these products have been well received in the market.  Last but not least, we're also awarded the Secret Service Contract, a prestigious accomplishment and one that speaks to the premium performance of our products. Rounding out our shooting sports segment, our Hunt, Shoot business grew 8% during the quarter, powered by our better together model, strong brands and new product offerings. Looking forward, we believe the future is bright for both our ammunition and Hunt, Shoot business units.  The market continues to reorient itself as new entrants, and activity trends of all and Vista Outdoor is positioned to lead in all of these categories. Looking at the entire market, the number of firearm owners has roughly doubled over the last 10 years, which bodes well for our ammunition businesses, as well as our Hunt, Shoot accessories as add-ons.  We're also driving growth in our outdoor products brands with tremendous new product innovation. For example, during Q2 Bushnell Golf successfully launched the highly anticipated Launch Pro for just under $3,000 with inventory selling out in minutes, on the Bushnell Golf website. These are only hardware successes that are supporting growth and translating nicely in subscription sign ups and upgrades. Bushnell also introduced a new Disc Jockey, a portable speaker for the growing Disc Golf category that provides audible GPS distances to the next basket, while streaming an audio playlist.  Camp Chef unvalued a new Apex Grill at the hardware show. The Apex expands Camp Chef’s leadership position in the hybrid category giving consumers a choice for wood palette or propane fuel cooking in a single platform. In our action sports business, the new Giro Contour RS Goggles was named by Outside Magazine as 2022 Gear of the Year, which gives us added momentum heading into Snow season.  Bell’s Moto-10 continues its success moving into Phase II of the campaign with multiple athlete and partner collaborations hitting social media, and CamelBak has been driving new innovation, which Greg will cover in a minute.  I'm excited about the progress we continue to make in our licensing business. I expect that licensing will grow in time to be a considerable profit generator for Vista Outdoor. Recent wins include Bell Helmets, where we secured a 10-year license agreement with Racing Force to use the Bell brand on auto racing and karting products. And Bushnell and Remington have entered into a variety of licensing partnerships.  Our value creation framework includes our centers of excellence. Our centers of excellence leverage our shared resources, expertise and scale to achieve a level of excellence that would be out of the reach for our individual brands. Nowhere has this model been more evident than for QuietKat.  In Q2 QuietKat delivered the best quarter ever in its history and is now well integrated within our sourcing and supply chain networks, getting more E-vites into the marketplace. Our Digital Center of Excellence continues to activate first class D2C sites for our brands, with Blackburn and CoPilot, the latest to come online.  Another strategic pillar in our value creation framework strategy is talent and culture. From management to frontline employees we built a team that puts people first. I'm proud to share we’ve recently joined the Together Outdoors Coalition, which is an organization of outdoor companies committed to diversity, equity and inclusion in the outdoors. At the same time we are creating a culture that's focused on sustainability and we're proud that Investors Business Daily recently recognized Vista Outdoor as the top three ES&G Company in the consumer goods category.  In summary, we're well positioned for the long term with a diverse portfolio of iconic, as well as emerging disruptive brands, that are changing the way we experience the outdoors.  I'll now ask Greg Williamson, President of CamelBak to give an update on the record breaking quarter. Greg. 
Greg Williamson : Thank you. Chris, and good morning everyone. It's an exciting time to be at CamelBak and be part of the Vista Outdoor family. There are two milestones I like to highlight before I get started. First, the CamelBak brand recently celebrated its two year anniversary. I’m honored to be part of the brand that has been with the hands-free hydration category and the BPA-free water bottle. And I’m equally excited of what the future holds as we extend this iconic brand to the next generation of outdoor consumer. Second, that in our entire 30 year plus history, the second quarter was the largest revenue quarter on record, driven by year-over-year top-line growth of over 40%.  Our focus on innovation has led to gains in many of our core categories. According to NPD's data, in the last 12 months CamelBak has gained 10 points of share and bike packs over $100, and over 5 points a share in the Hydration Pack space where we have also claimed a leadership share position.  Our growth is also being driven by entering new categories. As we did with the launch of our Horizon drink ware collection last year. We continue to gain retail listings globally and are encouraged by the growth prospects for CamelBak in this large and growing market.  We continued our extension into new categories through an exciting new partnership with Lifestraw. This partnership brings together the leader in mobile hydration with the leader of outdoor water filtration to create tremendous consumer value in a fast growing category. We've also improved product listings across all major retailers, including expanding Vacuum Stainless steel listings at target, and our Pack and Bottle listings at REI.  Additionally, we've expanded our Drop Ship Program to include more websites, including Bass Pro, Target and DICK'S Sporting Goods. Lastly, the Vista Outdoor Digital Center of Excellence has support the migration CamelBak.com to the sales force Commerce Cloud, giving us a more intelligent and capable e-commerce platform.  As we look at the next 3 years, we have a solid foundation upon which we can grow. We’ve established a world class management team. We've developed our deep rooted and meaningful sustainability program, which we have bred and repurposed. This program reduces the environmental impacts of our products by creating a system that assists in generating environmentally safe product solutions.  Recent research finds that 80% of GenZ and millennial consumers base their purchasing decisions on social impact and sustainability. As you know, sustainability is part of our DNA at CamelBak and we are positioned to win with this demographic. We believe in diversifying the outdoors. We are engaging with partners such as Melanin Base Camp and Unlikely Hikers to promote diversity and access in outdoor recreation. We're expanding our content marketing and product lines and to echo Chris’s comments, we take seriously the obligation to lead by example in promoting diversity, equity and inclusion and active lifestyle journeys.  Our partnership with Peloton has extended our brand reach to their 2 million plus active subscribers as our Podium Sports Bottles featured as part of the equipment packages, offered for both the Peloton bike and Tread.  In closing, we are thriving because of our people. Our people are the difference makers. They are the key to our success. They embody our mission, which is to continuously reinvent outdoor hydration and carry solutions and a current active lifestyle. I'm lucky to lead to this team and thank you again for the chance to represent CamelBak here today.  I'll now turn it over to Sudhansh. Sudhanshu.
Sudhanshu Priyadarshi : Thanks, Greg, and good morning everyone. Q2 was another record quarter. As Chris noted, exceeding our three year target on the top and bottom line. We are successfully executing on the strategy that could outline, driving shareholder value through sound acquisition in outdoor ramps, organic growth investments and share repurchases, while maintaining low leverage within our target of 1x to 2x.  Sales grew 35% in the second quarter, reaching a record of $778 million, while EBIT and EBITDA margins both expanded to record highs of 25% and 27% respectively. We also repurchased more than 300,000 shares and ended the quarter with $265 million in cash. Our net debt leverage ratio declined to 0.4x, well below our target ratio of 1x to 2x.  In September, we announced the acquisition of Foresight Sports and subsequently closed this transaction only in our third quarter. The $474 million purchase price was paid for with cash-on-hand and $250 million as level under our ABL. As a result, our leverage ratio stood at 1.3x upon closing on September 28, and remains at the lower end of our targeted range. We expect this ratio to decline to 1x by fiscal year end.  Today as Chris mentioned, we closed another acquisition, Fiber Energy Products. Our disciplined acquisition strategy is proving that we can drive accretive growth and productivity across our portfolio of leading brands.  Now let's discuss our Q2 results in more detail. Earlier this morning, we provided both, as reported and adjusted results in our earnings release, including the slides accompanying our earnings conference call. My comments today focus on adjusted results.  Looking at slide 14, Q2 sales were up 35% reflecting growth across both segments due to strong consumer preferences for our leading brands. Gross profit increased 85% to $299 million from last year, driven predominantly by Shooting Sports. The strategic pricing actions, higher sales volume and operating efficiencies, driven by a lean cost structure increased Shooting Sports margin, which were partially offset by higher commodity and supply chain cost. Outdoor products, gross profit was driven by higher sales volume, partially offset by higher logistics cost and mix within sales channels.  EBIT rose 150% to a record $194 million due to gross margin expansion and operating leverage. EBIT margin reached a new record of 25% and EBITDA margin reached a new record high at 27%, increasing nearly 11 percentage points compared with the same period last year. EPS also achieved a new record of $2.41 compared with $1.10 in the prior year quarter. Lastly, higher inventory drove lower free cash floor in Q2 as compared to a year ago.  The majority of this growth is from acquired businesses and higher in-transit inventory, view in part by supply chain delays, as well as increased inventory in advance of our holiday season demand.  Turning to page 15 of our presentation, we are continuing to maintain a strong balance sheet through financial discipline with net leverage of 0.4x and over $650 million of liquidity. We had no outstanding borrowings on our ABL revolver at the end of Q2.  Moving on to Page 16, you can see that our capital allocation priorities have remained unchanged. We are focused on investing in organic growth, making sound acquisitions, maintaining a strong balance sheet and returning capital to shareholders via share repurchases while maintaining a low level ratio. Our strong results over the past several quarters demonstrated that our capital investment are driving strong performance across our portfolio.  Not let’s skip to our segment highlighters beginning on page 17. Q2 was a strong quarter for Shooting Sports. We are continuing to see high demand across all calibers of ammunition and very low channel inventories, as well as favorable price, volume and mix in both ammunition and hunting and shooting accessories. As a result, second quarter sales rose 49% year-over-year to a record $566 million. Of this our ammunition business was up 65% and our Hunt, Shoot business was up 8%.  Remington is scaling quickly, generating approximately $75 million in Q2 sales. For the full fiscal year we expect Remington to generator over $300 million in total sales at an approximate 25% EBITDA margin. With the purchase price of roughly $81 billion, this implies that we have paid a forward multiple of approximately 1x and have created significant value for our shareholders. This acquisition is a great example of our disciplined strategy to be a prudent acquirer. Lastly EBIT margins increased nearly 16 percentage points to 34% from the prior year quarter, driven by higher gross profit margin and operating leverage.  Turning to outdoor products one page 18, Q2 sales grew 9% to $212 million on top of a strong comp last year, driven by continued demand for our strong brand, led by the growth at CamelBak and QuietKat, which is outperforming our expectations. EBIT margin was 11%, down 2 percentage points from the prior year, driven primarily by higher SG&A from acquisitions, as well as higher logistic costs and sales channel mix.  Lastly, let's turn to our outlook on slide 19. We expect continued strong demand for highly sought after brands in our portfolio. We remain confident in our business model, in our ability to continue executing successfully across our portfolio and in our potential to deliver record performance this fiscal year.  As a result, we are providing full fiscal year 2022 guidance of revenue between $2.9 billion to $2.95 billion, up over 30% from previous records in fiscal ‘21. EBITDA margin of 24% to 24.5% as compared to 15.5% in fiscal ’21; earnings per share of $7.70 to $8, an increase of over 110% from last year; and free cash flow for the fiscal year 2022 is anticipated to be between $275 million to $325 million. We expect sales in EPS in Q3 and Q4 to be similar across the both periods.  Our fiscal ‘22 assumptions include expectations of higher commodity costs and higher logistics costs as we work through supply chain destruction, and effective tax rate in the mid-20% range.  Interest expense in line with prior year adjusted interest expense, and increase in CapEx to approximately 14% higher than last year, which is up from 30% in pervious guidance, and a rise in R&D expense to roughly 35% higher than last year, which is up from 25% as previously guided.  Last, but not the least, as we focus beyond physical ’22, we continue to see strong demand across our portfolio of leading brands, including recent acquisitions within our outdoor products segment. We also see elevated long term demand trend for ammunition as evidenced by the increase in new firearm owners, participation trends and our multi-billion dollar backlog. As a result, we have approved new campus investment for adding smart capacity within our existing ammunition plants as Chris mentioned. Coupled with a lean cost structure in our legacy facilities and opportunities to drive growth and operating efficiency at our Remington plant, we believe that our shooting sports segment can continue to operate at high EBITDA margins.  In addition, we are reiterating our long term targets provided at our Investor Day. We expect performance at the high end of each target, driven by strong organic growth and [inaudible] as the latter, disciplined financial strategy.  We remain highly confident in our business model and strong portfolio of brands. We believe that Vista Outdoor is well positioned to continue to drive long term value for our shareholders.  Now, I will hand it back to Chris for closing comments. Chris.
Chris Metz : Thanks Sudhanshu. This truly is an exciting time to be at Vista Outdoor. We're delivering on our vision to build powerhouse brands that empower people to achieve their goals and live their best outdoor lives.  Before we take your questions, I do want to note that we are mindful of the challenges we face as COVID has created an unprecedented environment for all of us; from material container and labor shortages to increasing inflation.  We are certainly not immune to them, and like others, we see these challenges continuing in the near term. However, we have clear competitive advantages that differentiate us, including a diverse portfolio of leading iconic and disruptive brands, the size and scale of our multi-billion organizations, our centers of excellence, a healthy balance sheet, strong free cash flow and purpose and sustainability driven initiatives. We are uniquely positioned for our brands to excel and win in today's markets, and to create long term value for our employees, customers and shareholders.  Now, let's open it up to your questions. 
Operator: Thank you. [Operator Instructions] We can now take the first question from James Hardiman from Wedbush Securities.
James Hardiman: Good morning. Thanks for taking my questions. So if I'm doing the math right and which is entirely possible that I'm not, going to sort of on the fly, but as I think about your guidance, second half revenue looks pretty similar to first half, but second half earnings significantly short of the first half, particularly the second quarter run rate. I guess, A) is that math right? And B) if so, how should we think about the drivers towards that kind of mean?
A - Chris Metz: Yeah, so James, thank you for the first question. Sudhanshu, why don’t you address James’s question?
Sudhanshu Priyadarshi: Thanks Chris. Yes James, so first half we saw a lot more benefit in commodities. We had some copper hedges from last year which we talked to in last year call – last quarter call and we also had better mix, volume pricing. So we continue to see the supply chain challenges, raw material cost, filtration and also SG&A will continue to go up a little bit, because people are traveling, going to trade shows, so all of those things are impacting our ability to match 8-1 [ph] EBITDA margin. 
A - Chris Metz: And I’d add to that too James and audience. The SG&A as a percent of sales in the second quarter was roughly 13.5%, which we don't believe is a sustainable level of cost, particularly for the reasons that Sudhanshu mentioned, which you know a lot of those costs were suppressed because of COVID related activities, work-from-home, what have you. So we're going to continue to invest in innovative new products, our powerhouse brands to deliver the outsized growth that you’ve seen in the first half. 
James Hardiman: Got it! That’s helpful. I'll hop back in queue. Thanks. 
Operator: We can now take the next question from Jim Chartier from Monness, Crespi, Hardt.
Jim Chartier: Good morning. Thanks for taking my question. I was wondering if you could provide some more – you know quantify maybe the impacted of the supply chain constraints on outdoor products. What was the sales impact in the second quarter? Did some sales shift into the third quarter? And then also maybe what the margin impact was in second quarter and then what's the expected impact in the back half of the year? Thanks. 
A - Chris Metz: Yes, so Jim, good question and something that obviously we've looked at very hard and taken into account in our guidance and our supply chain conversations with our manufacturer partner.  So when you start to look at what could have been, it certainly is more of a demand story than it is a supply story, and there's no question, in each of our categories across outdoor products and shooting sports that our demand was somewhat depressed.  However, when you look to what quarter will this fall into, until the logistics container supply chain, its set through challenges abate, which we don't anticipate they will for a while, it continues to push out to the right. So we'll clear the check you know in the third quarter here, our second quarter sales backlog, but unfortunately we may see some of our third quarter slip to fourth quarter, fourth quarter slip to first quarter, so on and so forth.  We built all of that into our guidance and what I would suggest is that we’re able to deliver outsized growth across really all of our categories, because of the centers of excellence that we built. We feel like we're managing supply chain logistics at a level that is higher than we've ever done in our company and we think better than many of our peers and you see that in the growth and I think you see that as evidence when you look into the material, but we're growing our inventory position and they use to use to be able to support the backlog in the continued growth. 
Jim Chartier: Right, thank you. 
Operator: We can now take the next question from Scott Stember from CL King.
Scott Stember: Good morning, and congrats and thanks for taking my questions. Can we talk about Foresight yeah a little bit? Obviously you gave $100 million in sales, very high associated EBITDA margins, but how should we look at this from a seasonality standpoint, how this business works for you? I imagine it's far less seasonal and that gives us – a lot of these products are indoor based and maybe just talk about the timing of the accretion at least in the back half of the year. 
A - Chris Metz: Yes, so Scott, we – you know like a lot of our acquisitions, it’s like all of our acquisitions so far, we’re very, very happy in what we're seeing in the early stages and we would expect Foresight to perform as our other acquisitions have, which are meeting or frankly beating our expectations. Now in terms of guidance as we go forward, we’ve given the $100 million and $50 million of sales and EBITDA respectively, and we know there is seasonality in golf. We see it with our Bushnell golf business. This seasonality won't be quite as pronounced in Foresight Sports because of the indoor nature of some of the purchases, so we're not prepared to give quarterly guidance, but we’re certainly happy with the progress we're making and committed to the yearly guidance that we unveiled and we’re well on track to hit that. 
Scott Stember: Got it. If I could just slip one last quick one, just about cadence of earnings in the back half of the year, I think you said that sales should be I guess centrally the same in Q3 and Q4. How about earnings? 
Sudhanshu Priyadarshi: So yes, this is Sudhanshu. I think for your modeling purpose, its Q3 and Q4, will be kind of half-half, so you can just do the same math for the sales in EPS, that’s what I’ve said. 
Scott Stember: Okay. Alright, thank you. 
A - Chris Metz: Absolutely! 
Operator: We can now take the next question from Matt Koranda from Roth Capital.
Matt Koranda: Hey guys! Thanks. Just wondered if you could speak to the pricing environment and ammo? I gathered from some of your prepared remarks, it sounded like you were at least holding price during the quarter and potentially taking some, but then on a go-forward basis maybe we're not going to see as many increases. But did I hear that right and maybe you could speak to the pricing dynamics within the quarter and then you know how you see it playing out for the next several months. And then also just on ammo backlog, could you just clarify, is that still growing and maybe just a little more color in terms of what you're seeing in the channel. You did mention some disparities by caliber, but maybe you can put some more color on which calibers are lightest in your view and then are the [inaudible] in terms of availability? Thanks. 
A - Chris Metz: Okay, sure Matt. So first of all on the price, so we continue – while we’ve taken six parts increases over the past 12 to 18 months, we just announced our last price increase in November, which will take effect in the beginning of this calendar year.  We haven't signaled anything in terms of ongoing price increases, but we've been very consistent in being able to take the inflation, be it in labor, be it in materials or what have you and patch that on, and as long as the demand continues to persist in the way it is and we anticipate that it will for the foreseeable future, we don't see price compression as an issue. And as we talked previously because of some of the consolidation we've done with Remington, even as you look long term we don't see the same type of price compression that the industry may have experienced in previous times. In terms of the ammo backlog, our ammo backlog continues to be at an all-time level and if you look at the consumption data, and if you look at some of the other indices that are out there, it suggests that demand continues to be very, very, strong and that’s evidenced in our backlog. In terms of the channels backlog, it’s still minimal and I will say that if you do retail checks and you look at the inventory on the shelves, what's remarkable is they are carrying significantly less inventory. Regardless of what they are carrying, its honestly multiple base-in and a lot of the same calibers and we know that the other calibers are in demand, but just can't be produced yet. That's the rationale behind some of the machinery and equipment we’re purchasing now to expand our capacity, to really give our ammunition factories the flexibility to be able to meet a broad shell demand within the calibers. And a lot of this is being driven by the increases in hunting, which is at its highest level since 1958, and a lot of it is being driven by the growth in youth sports and a lot of the other shooting sports activities. 
Operator: We can now take the next question from Rommel Dionisio from Aegis Capital. 
Rommel Dionisio : Good morning. Thanks for taking my question. As you think about some, the ammunition segment, obviously it gives [inaudible] pretty much everything your manufacturing, but how do you think about the brand segmentation between Federal and Remington over the long term? I mean there's probably some overlap and I realize that they are a loyal customer base. But how do you think about how you segment those two brands in the marketplace? Thanks. 
A - Chris Metz: Yes, so thank you Rommel. So the – what’s it your seeing about the brands is this is the first time we’ve kind of leaned out and talked about the power house stable of brands we have. So we’ve got 10 brands at over $100 million in annual sales, which really speaks to the power and the leverage that you can have in markets regardless of trends and conditions.  As it relates to ammo, you know we've got multiple brands; as you've mentioned Federal and Remington, and they’ve always had a core set of very loyal followers. So you know Remington’s over 200 year old brand, Federal’s a 100 year old brands which we’re celebrating next calendar year. Just iconic brands that attract a super loyal following and we expect that to continue.  In fact by resurrecting Remington we've had a brand council that we’ve nominated to really dig into some of the users that were disenchanted over the last number of years because they couldn't get their products. So those are the areas we’re going into first and so we're innovating and core locked to bring you know whitetail deer hunters on the eastern seaboard the products that they've always wanted. So you know based on a lot of differentiation between the two brands and clearly we're going to market great, great products to those loyalists and expect both of them to continue to drive their specific positions in the marketplace and growth simultaneously. 
Rommel Dionisio : Okay, thanks very much. 
A - Chris Metz: Yeah. 
Operator: We can now take the next question from Mark Smith from Lake Street Capital Markets.
Mark Smith: Hi guys! Can you speak a little bit about digital growth, re-com growth within ammunition? You know where that’s moving to and if that had a significant impact on margin during the quarter?
A - Chris Metz: Yes, so thank you Mark. So we don't break out our digital revenue by brand, but in fairness our digital volume in ammunition has not been a significant factor in the growth of the ammunition business. Our first priority is really to service our loyal and very committed dealer base. So the digital volume that we've done to-date throughout the increases has really been kind of on the margins. It helps us and enable us to learn and share those learning’s with our dealers.  Now that being said, we built up a very good capability in our direct-to-consumer efforts in ammunition and it has grown and it will continue to grow. And so you see us introduce the subscription program, which we’ll unveil and roll out this quarter. It's still in its testing and infancy stage you know, the stages, but its one of those learning, test and learn, so we can take that learning and share that with our dealers in terms of what consumers are looking for, how they want to shop, so on and so forth.  Our overall objective here, all of our D2C businesses is really to create a frictionless environment. We know consumers buying habits have changed and you know we want to make sure we're there where they want to shop, how they want to shop, to the extent that we need to increase our D2C efforts to do that. You know we're committed to doing that in all of our brands. 
Mark Smith: Okay, thank you. 
Operator: We can now take the next question from Gautam Khanna from Cowen & Co.
Jack Ayres: Hi guys! Good morning. This is Jack Ayres on for Gautam today. Good results! I guess just a quick question around ammo demands and the backlog. I think you alluded to it earlier, how it's growing. I guess it's a quick question you know in regards to the next catalyst here, you know we're seeing some mixed data sort of turn negative here over the past couple of months. You know how should we think about this sort of correlation between ammo sales and some of these data checks. And then I guess just as a follow up, if you could talk about the administration’s plan for the Russian import bans on ammo, that will be great. Thanks.
A - Chris Metz: Sure Jack. So as we mentioned in our prepared remarks and some of the answers we’ve given so far, we don't see the demand in ammunition abating, and we study mix very, very closely. Now we’ve said previously we don't think there's a super strong correlation between mix data and ammunition purchases, but let me just address how we have absorbed the mix data of recent.  So I think we all need to step back and understand that despite being down, October mix was the second highest October ever on record. Secondly, when we look at the mix data, we've seen the sixth straight month of over $1 million, $2 million, $3 million net adjusted purchasers of the equipment or firearms that use the ammunition. And in fact this flatness has actually kind of increased a little bit over the last few months. So certainly the surge we've seen has subsided into what we call kind of a level that we find very exciting. Now I say the correlation is not quite as strong is because when somebody goes out and purchases a piece of equipment or firearm, that may or may not be a one-time purchase; they may purchase more. But what we do know is they need to buy ammunition on a consistent basis to consume and put in that product to use.  So then we look at the underlying health. I mentioned hunting is at an all-time level since 1958. You know we look at the variety of calibers now. In previous surges it used to be a .223, 5.56, 9 mm type of increase. Now we're seeing caliber's across the board because of all these activities, so shotshells, we can't produce enough of them; our honey [ph] calibers, we can’t produce enough of them. That's the things that we start to see that are very, very exciting for us.  Now, to the extent that the administration jumps in and helps us on a Russian import ban, we’re acquiring that. You know we think it's time that the playing field is leveled. However, we don't view the imports as a long term threat. We know that there's a lot of stickiness to the iconic brands that we have. We’ve seen it over the history of our brands as we studied it, and we know that in times of increases like this where supply from domestic manufacturers such as ourselves cannot meet that demand, imports come in and take that slacked capacity, that won't go away. But as we continue to ramp up our production through increases in capacity, increases in efficiencies, Remington continuing to grow, we're just going to continue to grow and see that demand.
Jack Ayres: Perfect! I appreciate it guys. Thank you so much. 
A - Chris Metz: Sure Jack, you’re welcome.
Operator: We can now take the next question from Ryan Sundby from William Blair.
Ryan Sundby: Yeah hi, good morning. Chris, great to hear that QuietKat is off to a strong start. Just given the demand out there for e-vites as a moment, can you talk a little bit more about what your ability is to scale that business? And then quickly on Piper Energy, just any additional detail there onsite and growth and what is so vital to the business. 
A - Chris Metz: Sure, and so Ryan, QuietKat is one of those acquisitions that you know we might catch lightning in a bottle on this. We know that the growth trends are tremendous and this is a great example where we're able to take the center of excellence we built in supply chain and procurement and just embed that into the QuietKat business. So you got two super innovative founders that know how to grow the business and re-broaden the scale and the leverage that we can provide upon the supply chain side.  So we’ve doubled their capacity or their ability to procure bicycles. So again, we expect this business off of our smaller base to double in the first 12 months. You know we don't see any reason why it can't continue to growth at that outpaced type of breaks, given the trends in the industry and given frankly your position and innovativeness. And so we continue to be very bullish on the QuietKat acquisition.  So Fiber Energy is a really neat acquisition for us, because it's something we haven't done to-date where we vertically integrated into a manufacturer and it’s strong vote of confidence and belief in our corporate standpoint to really back up our Camp Chef business which has grown tremendously during our ownership. And we think it's just that the nascent stages of this pallet fiber type of growth category outdoors.  And so what Fiber Energy brings to us is two of the best plants with seven mills. So it gives the ability to grow a consumable category that we studied hard and see that there is a strong desire or attachment rate for folks that buy branded grills, that want those branded pellets, and we haven’t frankly had the ability to supply that because of the shortage in the industry. So we’ve strategically gone in, purchased this manufacturing capability and really gives Camp Chef a different platform to be able to compete with some of the bigger competitors in the market. 
Ryan Sundby: That's great. Thanks guys. 
Chris Metz: Sure.
Operator: We can now take the next question from Eric Wold from B. Riley Securities. 
Eric Wold: Thanks. Good morning. So with the additional equipment that you are bring online, like on the ammo segment, can you give us a rough sense of the production boost this could provide, and I know it will depend of calibers. I know that the action – maybe a broad sense of the boost to kind of the current maxed run-rate for ammo production right now, including Remington and HEVI-Shot. And then in the planning around the ammo subscription program, is your assumption that subscription demand will be incremental to existing retail demand or somewhat acting as a substitute? Thank you. 
Chris Metz: Sure, Eric. And I know you'll appreciate the fact that we're very careful and cautious about what we share for competitive reasons, getting – we're kind of in the competitive hand so to speak. I mentioned previously that we study as best we can industry capacity and making sure that we’re not only managing outdoor capacity, but we’re very mindful of what's being brought into the industry, so we don't get over our skies if you will.  The initial equipment, we are not prepared to size up what the complete impact is going to be. It certainly does give us capacity to expand on the margins, but importantly it gives us more flexibility to be able to react quicker to some of the increases in other calibers that we're seeing right now, that weren't as readily able to fulfill.  In terms of the subscription program, yes certainly we know, because we studied it, that there is a subset of consumers out there that want a steady supply of their favorite caliber, their favorite brand, their favorite build, and we're excited that we got the plumbing and piping set up to be able to supply this to them when, where and how they need it. So we'll see. We are at the early stages of it, but we are super excited about what the impact is going to be for us and our dealer network. 
Eric Wold: Got it. Thank you. 
Operator: We can now take the final question from Jim Chartier from Monness, Crespi, Hardt.
Jim Chartier: Hi! Thanks for putting me in again. So I just wonder if you can kind of help size up how much the industry for ammo has grown since kind of 2019. You talked about adding 12 million new shooters. Winchester a couple of weeks ago put out a number of about 57 million shooters today, you know after 8 million last year and then the expected I think 6 million this year, which kind of targets, you know the installed base is up somewhere around 30% and then you’ve got pricing on top of that.  So I’m just trying to understand, could ammo demand in a normalized environment actually be up 40% plus versus where it was in 2019? Thanks. 
Chris Metz: Yes, so Jim when you look at just the next day that it was released, on a two year stack, your spot on, it’s up 30%. We think that the ammo market based upon all the new users that have come in, the diversity of users that have come in and frankly a lot of social media as I mentioned before with podcast and what have you, that are really feeding the continued diversity, inclusion and growth of the ammunition industry which is vastly different than previously. It even extends into self-defense as we had defunding police on certain legislative agendas and what have you.  So all of this stuff feeds an interest of curiosity and a usage of the product. So the fact that it’s up 30%, 40% on a consistent basis now, you know we just, we really say and we believe in everything we study that the demand is going to continue to hold very strong. 
Jim Chartier: Great! [Cross Talk] 
[End of Q&A]:
Chris Metz: So Jim and others, thanks – yeah, thank you Jim and others for the questions and the continued support, and we’ll close here by reiterating the fact that demand that we are seeing in the market place, we see continuing across really all of our brands, both of our segments, and what really needed is that we see the tailwinds as very positive. But what excites me more is that we are outpacing the tailwinds because of the centers of excellence we’ve developed, the talent we’ve been able to attract, and frankly the strength of our power house brands.  So we are working on supply and continue to drive it and we are excited about the fiscal year to come here. Thanks very much. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.